Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Kazuhiko Fujihara: 00:05 Ladies and gentlemen, thank you very much for waiting. We would like to start the briefing for earnings results for the six months ended September Thirtieth Twenty Twenty One for the Investors. First of all, we would like to introduce to you the presenters from SoftBank Corporation, Board of Director, Executive Vice President and CFO, Fujihara. Vice President, Head of Finance and Accounting Division, Naito. Vice President Head of Strategic Finance Division of the Finance Unit, Akiyama. 01:00 Today's briefing is streamed live on the Internet. Without further ado, I would like to invite Mr. Fujihara to talk about the earnings results for Softbank corporation. 01:21 This is Fujihara In Charge of Finance. Thank you very much for coming to this briefing. We had the earnings briefing earlier by our President, but I would like to provide detailed explanation and I would like to begin. 01:40 This is the executive summary. Revenue was up twelve percent, adjusted EBITDA was plus one percent on the other hand, operating income was negative three percent and net income was negative two percent year-on-year. The revenue increased, but the profit decreased. The profits declined because of the mobile service price reduction, but enterprise and Yahoo! Japan and line grew steadily. 02:14 This fiscal year of following the past three years, we would like to do continue to have the record high income. In terms of the operating income, the progress rate to the overall forecast is fifty nine percent. We would be able to, we believe that we would be able to achieve our target PayPay continues to grow, and we would like to make PayPay as our core business, and I would like to talk about that later. 02:55 First, I would like to give you the summary of the numbers. Please take a look at the progress rate. In terms of the revenue, forty nine point five percent. This revenue, we believe that we can go beyond the five point five – five trillion five hundred billion and as for the adjusted EBITDA is fifty point seven percent. And we would like to continue this progress as Mr. Miyakawa has mentioned, in the last fourth quarter, we had been aggressively conducting the sales promotion and there was line consolidation. There were some impairments that we booked. 03:46 So there was the fifty billion Yen one-time expenses in the last fourth quarter. Last fiscal year, in the second quarter, we had the record high operating profit and this fiscal year in the second quarter, it was second highest. Now, I would like to show you the breakdown of the revenue by segment. As you can see, we were able to increase three hundred billion Yen and all of the segments saw revenue increase. We have been continuously, been able to increase in the past three years after IPO. And we were able to increase again. Yahoo! and LINE have contributed greatly at one hundred ninety billion Yen out of that one hundred and forty billion Yen was from the growth of line. In terms of the consumer, it is quite big, but there was a recovery of the handsets that contributed significantly. 04:53 Now, I would like to talk about the EBITDA, it's plus six point one billion Yen one of the characteristics is [Indiscernible] as well as enterprise was able to contribute by more than ten billion Yen. On the other hand, in the consumer due to the mobile service price reduction, there was negative thirty nine point six billion Yen and I would like to talk about that later.
Unidentified Company Representative: 05:19 Next is operating income, so from six point one to eight point five. So, this is down minus eighteen point eight billion year-on-year. Interest of contribution Yahoo! and Enterprise and increase and then consumer is actually minus ten percent so the composition between EBITDA have really hasn't changed, but if you look at in difference between the two, Yahoo! is a decline of seventeen point nine billion Yen and the reason for that is as you can see on the right hand side, so with the integration of Yahoo! and LINE, we have PPA and depreciation or customer assets and also stock options. And that's altogether at twelve point billion Yen and with the addition in LINE, we have in just the increase of depreciation right off – I'm sorry amortization of intangible assets as well. So, this is the reason why it looks quite different this year. 06:27 So let me explained by segment and by business. So, first of all, consumer segment, this is probably of your greatest interest. So, first of all, segment revenue overall is plus six percent seventy seven point two. But eighty five point two billion in sales goods and others. This is mostly mobile handsets. So, this is a recovery from sales constraints last year and Q2 last year, we were selling primarily iPhone SC and the share at unit prices higher. So, together, we have seen a substantial increase in revenue. 07:05 In terms of services, we have electricity and broadband which is quite steady but mobile is minus thirty four point six billion Yen among which eleven it was explained earlier in the brief things. We have half price support program and we have made some accounting changes is the estimate changes and that was positive last year. So, this is a rebound from last year, which is minus eleven this year. Also, we have first year half discount, which was implemented last year and because of accounting changes, there was impact. 07:39 So this was actually negative last year, but this is plus thirteen point three, but this is offsetting in each other, and you have new price impact in others, which is minus thirty six point nine billion Yen. And amount the thirty six point nine billion Yen, twenty six billion Yen is the impact from the new prices. And the rest is ours is actually declining and these are from other reasons as well, now I explain more in the other section, but there's an impact from there and also because of the decrease in fees, this is impacting our overall revenue here. And on the right-hand side you see income. So, you can see services revenue, you have mentioned the three the total was minus eight point one billion Yen and in terms of handset sales, this is increased, but of course, there's cost of goods. So cost of goods was sixty five point three Yen and expenses was fifty three point six Yen. Now your high cost of services primarily electricity. This is minus twenty. And you have sales commissions and sales promotion expenses minus fourteen point four. In Q1, we had about twelve point three or so in Q1. And this is because of the increased sales activity so the Q2 impact was two point eight billion Yen and in terms of telecom network charges minus four point nine Yen. This is [Indiscernible] business. It just comes along with the increased business of [Indiscernible] service. And in terms of others, we are now enhancing base stations and increasing number of base stations, but last year, we have about two billion Yen in allowance for debt. So, and there was a double that we paid during this time. So, it was twelve point four, this is expected to decrease in the the second half. As a result, we have minus forty point seven million Yen decrease in income. On a year annual basis. 09:49 Now next is Enterprise segment. This is plus sixteen point three billion Yen year-on-year. Solutions is where we have greatest increase. This is nearly plus ten percent increased. To be honest, towards the second half, we're now building up on pipeline so we should be able to increase this in terms of income if you look at on the right-hand side, against the sixty four point six – excuse me, sixteen point three billion Yen revenue, the expenses minus six point eight and cost of goods is minus seven point nine, others is plus one point one. So, actually this is an improvement in Q1 and made a comment that nearly three billion Yen. This is reversal of the expenses of the past, so if you subtract at three billion Yen, you would say this is the actual real stake. So, in any case, this is making a study progress, so we would like to continue to grow this enterprise segment. 10:51 Now, this is business solutions is where attention is received. Now business solutions were attention is received. This is an overall increase is nine point nine percent. This is plus thirteen point two percent. Recurring revenue is about seventy five percent or so, and non-recurring is twenty one point two percent and overall is the year-on-year increase is twenty one point two percent as we want to continue to increase, and we have some temporary increase in the non-recurring revenue in the center last year due to telework penetration. 11:26 Now, let's look at Yahoo! and LINE segment. See Holdings has already disclosed. I would just highlight. So, the increase in revenue is plus thirty point five percent. This is mostly from media. Congress is also growing steadily. On the right hand side, you see income, in the middle, you see sales of YJFX which is plus fifteen point one billion Yen, this is just a one time, but increased, but if you exclude that, the business growth is plus fourteen point four. Now in business, we are subtract PPA in stock option, which is minus twelve point two. This is expenses that's occurring as a result at M&A. It's actually offsetting that in particular line when we decided to integrate it was November twenty nineteen. And at that point, LINE was loss making, but during the integration, they have implemented different measures. So, they have made progress towards the improvement. And of course, as after the integration LINE actually is contributing to our company. 12:32 And you have distribution segment and others. With regards to distribution, we have been able to increase revenue and income last year, we had GIGA school. This was a special demand which we were able to grow and about this business reflects some impact on chip shortage. But we have been able to overcome those challenges and we have been able to increase both in revenue and income. On the right hand side, you see others, these are different other subsidiaries as the prepayment service this is growing steadily. We're now close to ten billion Yen in profit. 13:12 And in terms of SB players, last year, we had listing demand. So, there was an increase in this year because we have more sales promotions. So, it's slightly negative. But hopefully this will increase our good. And SB ITmedia is also growing steadily as well. 13:34 So, let's look at net income. This is minus two point five percent it's three hundred seven point three billion, the sixty one point five percent in progress is steady. Operating income fell, but financial income and losses and then impairment losses last year. So, this is segment effect of that and SoftBank and see holding. We had a valuation gains on FATPL, so that’s positive. And on the right hand side, do you see net income attributable to noncontrolling interest, we have forty point six percent in the Z Holdings stake. Now this is down to thirty point six. Now, this is a decrease in net income taking Z holding. So, this is also affecting this. 14:26 Next is Capex. Capex is progressing as planned. We have rolling out of the 5G, and the progress rate is forty three percent and last year the CapEx was spent about four twenty billion Yen and around thirty percent, so the pitch is very good. Last year, there was a significant impact of IFRS with the headquarter move and there was an impact from the IFRS 16. 15:06 Next is free cash flow is two fifty point nine billion Yen. In the first quarter, there was a significant reduction as we disclosed in the first quarter. This is due to response to COVID and also because of the equity ratio and in addition to that, there was income tax payment increased and in the second quarter, the difference is negative at one point three billion Yen, so the impact is quite small. 15:48 Next is the balance sheet. So, overall and it is a twelve trillion or two hundred billion Yen, so there has only been a variance of thirty billion Yen and the capital has increased by one hundred and twenty billion Yen, so equity ratio has increased by zero point nine percent, so the improvement was seen. And in terms of the topics, in a Holdings, the cash, which was held there, there was a decrease by one hundred ten billion Yen, and this was because of the purchase of LINE shares less than one unit. 16:28 As for the net interest bearing that I will be explaining about that on the next page. So, this is the net interest bearing that The characteristic of this quarter is that in Yahoo!. The other we were able to buy in the amount of one hundred and seventy eight point five billion Yen, and so there was an increase in the interest bearing that there was an improvement on the SoftBank side. So, the net leverage ratio and net debt it's either flat or is this a slight increase? 17:06 From here, I would like to talk about the KPIs, first is telecommunications. I think that you are very much interested in this so there was net increased by one point five million Yen in these smartphones, compared to the last quarter. There is a deceleration. This quarter, there was an increase of three hundred thirty thousand. In March and April, especially around April, the situation was quite severe. 17:44 And we disclosed in June, but there is a trend of recovery, and we believe that we are still on the recovery trend. In terms of the iPhone, it is going well. And in October, we are seeing some recovery. So, in the second half, we would like to increase in net. In terms of the churn as it was mentioned, the mobility of the subscribers is increasing and smartphone is zero point nine one percent and main subscriber one point zero four percent and compared to last year, there has been a slight increase. In terms of the Churn rate, so the acquisition is increasing, but at the same time, Churn rate is also going up. That's the current market situation. So, we are assuming that its environment will continue. 18:49 Next is ARPU. Overall, there was a reduction of two ten Yen. Three thirty Yen before the discount and the overall ARPU was minus two ten Yen. One hundred – out of that one hundred and forty Yen is coming from the reduction in the mobile service fee. In addition to the direct reduction of the prices, there is an acceleration of the downgrade in addition to that change in the brand migration between the brands, and that has impacted the reduction, so Y! mobile had been increasing in terms of the subscribers, and also there is increase in the usage of smartphone debut plan. 19:51 We started this plan last year, and that has given a full impact to the ARPU reduction. On the early basis, there was an impact of two hundred Yen. And now, we are at the completion of the second quarter. And on an annual basis, if the impact is probably going to be around two ten Yen, I'm sure that there will be a lot of questions about this. But this is the summary of the current situation moving on. 20:29 Broadband, in terms of the broadband, there was an increase by zero point eight million Yen and in terms of electricity, there has been a significant growth, five hundred thousand increase in terms of subscription. And this plays an important role in the retention of the customers.
Unidentified Company Representative: 20:53 [Interpreted] Next is Yahoo!, and LINE is already announced, but we see growth and E-commerce media in particular, media is really growing steadily. Next is PayPay, the PayPay users year-on-year this is plus thirty percent number merchants have also increased by thirty four percent. So, it is growing a with great strength. In terms of number of payments, it's sixteen point -- one point six billion on a monthly basis. This is about three hundred million Yen. So, in the future, this will become super up. 21:38 And it order to be a super up, the frequency of use is critical, So, this is one of the most important KPIs per PayPay and as a result, GMV is two point four trillion Yen. And we're now seeing exceeding five trillion in terms of run rate. So, we will continue to work hard in second half. Now PayPay assistant fee, this is the team that we have really worked on. And on the left hand side, this is a new plan we have launched out. So, in terms of GMV is zero point one percent. So, the month of four hundred per month and the impact is only zero point four that some margins discontinued. 22:29 In terms of payment service, again, this is continuing on with the disclosure. You can see study growth Q2 was actually expands a nice strong growth. And this is plus thirty percent in growth rate in the first half. And those is also now using the surface and in terms of synergy effect, I think there's much more potential for growth. So those are the businesses. So, this is my last slide. On ESG related topics. And this is something we also want to update you every time. In this quarter and we have acquired high ESG ratings. These are all published so, I just want to show you the main points. And then in terms of next generation maritime high-speed satellite communications, we will do a joint study with Mitsui O.S.K. Lines, this again is already announced, but I just wanted to highlight this point on the slide and the year, we will also issue Softbank Integrated report. So that is all from me. So let me now take questions. So, thank you very much for your kind attention.
Operator: 24:02 [Interpreted] We would like to go into the Q&A session. Those of you who would like to ask question online. Please access the Zoom according to the instruction given to you. Q&A can be seen from the Zoom. So, once you access the Zoom, please turn off the website streaming after you access the Zoom to prevent echo. Now, we would like to begin the Q&A. Those of you with questions, please press on the raise hand button. We will be designating you. Your name, your affiliation. So once that's done, please unmute and pose your question. Those are you asking questions on Zoom, a please turn off the website streaming. If you are asking question on the Zoom in order to prevent echo. We will be limiting the questions to two per person. Now, I would like to ask Ando from Daiwa Securities to unmute and ask your question. 25:10 My name is Ando from Daiwa Securities. Can you hear me? Yes, we can hear you.
Yoshio Ando: 25:14 [Interpreted] I have two questions. The first question this related to ARPU in the second quarter, that was negative sixty Yen and this the two ten Yen as a turn line. With there not be so much fluctuation, that's what I would like to ask and after the third quarter on, what kind of factors will be there, or you talked about the ARPU will be decreasing by two hundred ten Yen. But what is the breakdown of the factors contributing to two ten Yen? And what are the factors which had changed the trend in this area? Thank you very much for your question.
Kazuhiko Fujihara: 26:11 In terms of the first quarter, I think that there was a decrease by one hundred and thirty Yen so in that sense, the delta seemed to be quite big. So, what will happen in the third and fourth quarters in terms of the price, so out of the seventy billion Yen, there would be a twenty six billion Yen and the remaining is forty four billion Yen, so we believe that in the second half, there will be a pressure from that. I talked about smartphone debut plan and the smartphone debut plan had significantly increased up to the second quarter, from the third quarter the smartphone debut plan had been implemented already. So, the impact will not be as big starting from the third quarter in terms of the ARPU. 27:09 As for the first and half year support, the third quarter impact was the biggest. And from third quarter of this year, on we believe that there would be a positive impact compared to the last year. So compared to the positive impact in the first and second quarters, the third quarter positive impact will be bigger, and that would contribute positively. There was mention about iPad stocks, and the ARPU is quite small in terms of these product. 27:50 And in that sense, It will positively impact the ARPU. So, we would like to offset the pressures through various areas and the reduction amount from third quarter on will be smaller than that of the first and second quarters. It of course depends on what will happen to the trend going forward. But overall, we still believe that the ARPU reduction amount and annually will be around two hundred ten Yen. Compared to what we had been considering at the beginning of the year, the brand migration tended to concentrate in the early timing, so the impact was bigger in the first and second quarter. So, there is no significant difference between two hundred and two ten. And what we believe is that it's a bit on the weaker side. And so, the current view is that two hundred ten Yen. So, thank you very much for explaining about these significance of the two ten Yen decrease. 29:13 The second question is about net add. Internally, in the, what is the assessment of the second quarter performance? I think that at the beginning, you were saying that we should have high expectations, but going forward, how did you view the implementation of the strategy that you have in place. Compared to the first quarter, the second quarter was on a recovery trend. 29:47 On the other hand, the second quarter had faced the state of emergency and there were not many fully implemented events. So, our strength could not be exercised in the market. So, when the customers come to the mased out retailers where we are and also when we are able to conduct various events together with our customers, we are able to do better. And in October because the state of emergency has been lifted. The people in the field are more energetic about holding events. So, I think that we would be able to capitalize on the situation and be stronger. 30:47 Thank you very much for explaining about the change in environment as well as your strength and this trends. Thank you very much.
Operator: 30:58 [Interpreted] Next, we have Satoru Kikuchi from SMBC Nikko Securities. Please unmute.
Satoru Kikuchi: 31:05 [Interpreted] This is Kikuchi speaking, two questions, please. You have been talking about mobile price reductions impact. So, in terms of definition, does this include deterioration in mix, which is it? Is it included or excluded?
Unidentified Company Representative: 31:27 In the earlier explanation, the situation a mix is included. Just in terms of control, it was there, but we have plus alpha, which is the mobile price reduction impact, the negative impact. So, when you say the tone, so in other words, the pace. So, the low price plan is increasing the pace accelerating that's impact from the price reductions and then the deterioration a mix which has actually started last year is now impacted for the price reductions. That's right. That's how we assess internally, and I was thinking about how we should be communicating with investors today, but I think it's the best to speak what the company's analysis is. So, in terms of trade balance, this is like why mobile this is increasing. And, so this tone, this pace is at the basis and then if there's a portion of acceleration and that will be the impact for the mobile price reductions, I see. 32:35 Which means that, so just in terms of term, you have the mix change deterioration, how substantial is it what's like the value. Well, if it's difficult to quantify it specifically, but how should I say this? Maybe in the lower range of ten of thousands Yen every month. I see, so in terms of policy [Indiscernible] just in terms of trend, this is cruise speed mix deterioration is something that will continue for some time maybe several years, so we should be prepared for that. 33:27 Well, the upgrades is usually the cycle is about three years. So, most customers, when they upgrade, they go and switch to new price plans, so next two or three years, maybe that trend is stronger. Of course, as we deploy 5g with different efforts, we would like to open up prior new opportunities and we want to look for opportunities to upsell. That terms of base tone does that pressure and that's I think you need to see the speed of the business I see and last question. So, the carriers we've have already announced their financial results, the voice, because of vaccination application, the voice ARPU has increased, so there was an explanation that there was temporary increase in for ARPU. Is just a phenomenon that you been able to confirm in your company? No, not really nothing it doesn't release stand out. We have a flat price – in semi flat price and I think we were very early on to differ on that. So, that was maybe but maybe it will be very limited, I think. Understood. Thank you. 34:53 My second question, about your grip and other than sea holdings. So, you have First of all, PayPay, so consolidation of PayPay and IPO, any progress, any changes in your thinking, any involvement and one of our other group companies in your equity methods any changes any outstanding contributions? With regards to PayPay to be honest, so this payment system fee is actually the substantial for us to be to breakeven or to actually have reach up primary wallet and this payment system fee is important. And so, the fact that we have been able to overcome this challenge, I think breakeven is in the scope of achieving the target. 36:02 Now, so what about marketing fee? So how much do we want to spend and onto how long and I think that really effect actual breakeven, now this is also in line with the growth. So, I think hopefully, we will come to point where we can quantify in the near future. So, we were thinking by twenty twenty two, we were thinking maybe breakeven in horizon, but it was going to grow, we don't want to be just, number one in general, but we want to be an absolute number one and so in different discussions we've had depending on how we think about marketing going forward, how we build the business will be different. So, in that sense, we had become more confident about this growth, so we want to operate more focus emphasis on growth. 36:57 With regards to IPO, we don't have anything in specific, but PayPay – people say that PayPay would have a great enterprise value. So, and I'm hearing more and more people say that. So, I think there's more options for the future I see. So, consolidation and improvement in financial results is correlated so in other words, if profitability or breakeven it was more clear, you will consolidate or even if it doesn’t clear you will consolidate in the near future or used your policy. That's not just a single element or the other, but I think there are different elements in terms of consolidation. 37:52 But what I can say is that such option will become of reality after April next year. So, at this point in time, we don't have anything we have decided out. I see what about conversion on preferred shares, that is coming in April, but you will be do that in April but you're not sure if you're going to do that. Nothing a firm yet. I understood. Thank you.
Operator: 38:18 [Interpreted] Thank you very much from Citigroup. Mr. Tsuruo, please unmute and ask your question.
Mitsunobu Tsuruo: 38:25 [Interpreted] Thank you very much for this opportunity to pose a question. I hope that you can hear me. So, related to understand this question about net ads. In the last quarter, you talked about of what happened in the last month of June. So, what is the trend month by month? There was iPhone launch. Well, it would be in the third quarter, but the net add trends for October, that is what I would like to ask. Last time, it was April, May, June and April was extreme and because of that, we had to provide the supplementary comments, but for July to September, not so extreme. And in October, we believe that we are dealing better. So, at the end of the quarter, we would like to talk about that.
Kazuhiko Fujihara: 39:21 [Interpreted] Softbank is really concentrated on net adds as Mr. [Indiscernible] mentioned earlier, so there is a lot of discussion about net adds within the company? I would like to ask a follow-up question. In terms of the pricing, you're happy with it and do you think that you would be able to maintain the net adds and accelerated? So, it is very difficult to say what our satisfactory level is, but there are some given, and we have to live with it. So, we need to delivery on it and consider under the current environment what we can do to increase the users because if the user increases that would expand the potential of the future business. Understood. 40:21 My second question, I would like to ask about the 5g situation. On the contract basis, it's more than ten million So what is the handsets sales situation. And if you could give me an idea of how you are doing, you have updated it at the beginning of September, but if you could talk about the coverage as well as the base station construction status, I will like to know. So, I think there would be a lot of confusion if we talk too much about either 5g, and I talked about two million three million, but we are adding on around one million in terms of the users and we would like to increase the numbers in millions. 41:17 And in terms of the base stations, we said that it is around eighty percent, and the coverage now is around eighty percent because of the elections, there were some tests which were suspended because of the general elections. But the plant, we are going according to the plan and next year, we would like to get to ninety percent and that remains unchanged.
Operator: 41:56 [Interpreted] Thank you. This is Moriyuki from SBI Securities. Please unmute.
Shinji Moriyuki: 42:02 [Interpreted] This is Moriyuki from SBI. Can you hear me? Yes, we can hear you. I have question about PayPay. My first question you said that you may want to extend the timing for this breaking event, and you want to focus on growth. What is the most important KPI for you a number of payments? But thinking maybe number of payments from what I heard earlier. So, what would be the image number of payments, which where you think will be breaking even. 42:38 And also with regards to losses, so maybe you able will take few years for break event, but the margin of losses is getting smaller or is it something you would not mention?
Unidentified Company Representative: 42:54 So for regards to PayPay, I think it's important that whether it's growing or not, and if we're confident that it can continue to grow then we will discuss with the three parties and maybe we will focus on more marketing, that could be a possibility and in fact FY twenty one, we were saying initially between twenty twenty to twenty twenty two, we will improve the profitability with the view for a breakeven in Horizon. And this was a scenario that also included payment system fees as well. But we have clearly changed our policy. So, this year, we will focus on marketing and accelerate growth, so we have shifted gears in that direction. 43:42 For next year. We don't have anything. Definitely I think it's too early to speak on definitive. But with PayPay, more than short term, we focus on what we want to do on an overall basis. So that's how we handle this business. So, if there's an opportunity for growth, we may continue to us on marketing. And maybe if we decide to, I think there's a possibility that we may choose to monetize it. So, please continue to watch and see. But in any case, it's something I think we're delighted that we have that option, the choice. Now what you ask that whether the number of payment is one of the most important KPI in do wash if the answer is, but in order to look at the number of payments, increased sales, we need to have number of views, greater number of users, registered users, So we monitor that on day to day basis. We also needs to be supported by the customers and it needs to be used many merchants as well. So, number of payments and number of registered users and number of merchants. These are the three important KPIs, which is really looked at in an integrated manner. So, we're now focusing on just one and if you asked me if it's the only one that obviously number of payments, it's a combination of the three. So, in that sense, if as a business segment allows you to increase the losses you would do that. Yes, well, that will be an option assuming that there's room for growth. Yes.
Shinji Moriyuki: 45:20 [Interpreted] Now, I have another question about iPad. In the CEO’s presentation, you said that there's a you were not able to sell iPad. Is this a ripple effect on this? So, for example, because you were not able to sell IP was there any effect on the solutions business or was this just about device sales, so it didn't really impact you that much.
Unidentified Company Representative: 45:49 There's no direct impact so far yet too. But it this takes starting to take time in some cases, now in terms of enterprise and mobile, it seems that there's a slight slowdown in growth, but half of the slowdown in the mobile, the Delta is in the sales goods and that is also included from the enterprises. So, there's some impact from device sales. So, I would say, yes, there's some impact. Understood. Thank you.
Operator: 46:28 [Interpreted] Thank you very much. Next is the Nomura Securities, Mr. Masuno. Please unmute and ask your question.
Daisaku Masuno: 46:37 [Interpreted] This is Masuno from Nomura Securities. I have two questions. One question is related to sales promotion. In the first half. There was an increase in the sales promotion cost. Last year in the fourth quarter, the sales promotion cost was one hundred fifty point one billion Yen. So compared to that, it may have been reduced, but in the full year with the sales promotion cost decreased. I think that first – fourth quarter is where you would be investing heavily in. So, what is the level of the sales promotion costs that you considering I would like to hear from you about that?
Kazuhiko Fujihara: 47:26 [Interpreted] In the first quarter, last year, we were not able to conduct sales activities. And there was negative twelve point eight billion Yen and so there was a significant decrease. And then the second quarter, it was two point eight billion Yen and in the third and fourth quarters, well in the fourth quarter, we significantly invested in the sales promotion. So, if it goes as planned, I think that there would be a degree from that. But, so, overall, because we are posting the reduction in the profit, we need to be conscious of the cost. 48:18 My second question. In terms of the investing in the cost and also the net adds, which is the other side of the coin. In the third and fourth quarters, there with the increase and considering the quarter, we trends. How would you be able to maintain the efficiency and economic and acquire a new subscribers. So, on what is the level that we are considering in smartphone, how many subscribers etcetera. In the first half, compared to the prior year, there was a decrease. What was one point nine million Yen became one point five million Yen. So, there was a decline and somewhere, we need to get to be on the positive year-on-year. We are very conscious of that. What you have sent is the net adds on a quarterly basis. It should go above the previous year in terms of the operation. That's correct. So, where that would happen is the key point, so we need to be very conscious of that. Understood. If that's the case, the you need to go beyond the adds level on a quarter basis compared to last year. It is not that we are clearly committing to it. 50:12 And we are having various discussions about the recovery of the net add. So, we are conscious of it. The third quarter was a little over one hundred thousand. So, I think that you can get to that level I see, understood. I'm okay with my question.
Operator: 50:40 [Interpreted] Thank you. [Indiscernible] Morgan Stanley Securities. This is (Tanaka) [ph] speaking. Can you hear me? Yes, we can year you.
Unidentified Analyst: 50:54 [Interpreted] So my first question first half in mobile. So, you have communication charges, and you have value added I think you used to disclose in order to be more visible. I wasn't able to find it but what was the mobile communication charges or revenue this time? So, I don't have the number with me. So let me discuss with the team on how we can disclose this. Thank you. Appreciate that.
Unidentified Company Representative: 51:33 [Interpreted] And the second point, in enterprise business. So, revenue is steady, but if you look at profit in Q2. If you look at margin, so the growth rate is six point seven percent. So compared to my expectation, it seems as so the growth rate in profit was slightly weak, can you give me the recent? I was expecting maybe double digit in it because you were quite consistent at that. So, can you explain your policy going forward? Well with regards to mob, we were hoping we'd get more in mobile. So, this is what, we want to recover mobile. That's one thing. But we have strong pipeline and in addition to that we have solutions as well. But even then, there's a slight shortfall. So, in second half, we need to really up our sales in revenue, mobile enterprise. This just shortfall, our shortage of labor people. We have many projects programs. So, we're very very busy. So, in Q2, we will not any break on calls, we will continue. So, it's not that we need to increase the profit by ten percent in Q2 sacrificing everything else. It's not – I think we really need to spend off for the growth in the future as well. So that's the I guess trend the how I think for Q2. 53:33 So just doing ways of thinking, Top line of enterprise business, if it's a single digit growth then profit will also become profit growth. So, in principle, it should be, it's organic, right? Well, largely speaking, these are products we do on a cross sell basis. So that's how the current system is. So, if revenue increases margin improves, so it works on both sides. So, of course, we want to increase on efficiency here. 54:15 But I am not able to say how many percentage increase because it's really different elements included in the and it differs from product to products, but there are many areas where we can increase of example, digital money, we have made quite a bit of preparations and investments for this. I think we have great expectations for this business to flourish. Understood. Thank you.
Operator: 54:43 [Interpreted] Thank you very much. The next question is the last question. From Okasan Securities, Mr. [Indiscernible] please unmute yourself and post your question.
Unidentified Analyst: 54:55 Thank you for this opportunity. My name is [Indiscernible] from Okasan Securities. Can you hear me? Yes, we can hear you. Thank you. I have one big question. In terms of the operating income, you have shown us the quarterly planned in the second half. So, if you could give me the balance, of segment by segment, I would appreciate it.
Kazuhiko Fujihara: 55:26 First, I would like to know about the structure of the third quarter, the drop in the consumer will be offset by Yahoo! and LINE. Is that what you're considering? And that's why it will remain flat. And also in the fourth quarter, we'll let be increasing because of the consumer segment the sea holdings. I think there was a ten billion Yen impairment last year and also there was a lot of promotion costs and also there was – there is LINE consolidation. So, if you could give me the breakdown of the third and fourth quarter, I would appreciate it. 56:13 So if I want to explain, of course, but if I say too much at the Holdings information will be a brought up and the holdings things is not disclosing those matters, so I would not be able to say much. So, in terms of the price support, we had that would be gone. So, the reduction in the profit, it will be smaller in the third quarter than the second quarter and also in the fourth quarter, consumer segment will be the central player in driving the growth. 56:56 And last year, there was impairment losses in the amount of more than around thirteen billion Yen. So, we are expecting that there would be a rebound and also, there was a reduction in the payment of the license fee of the brand. So, we would be more competitive. But there are a lot of things that they would like to do so in terms of the Z Holdings what they would like to do is not my place to talk about it. So, I would avoid saying that. And as for enterprise of one hundred twenty eight billion Yen is something that we would like to achieve. 57:54 And we hope to recover, and we are hoping that we will be able to get on the positive side. So that's the overall view of how we see the third and fourth quarters. Thank you very much for your explanation. That's all from my side, thank you.
Unidentified Company Representative: 58:13 Thank you.
Operator: 58:16 [Interpreted] This will conclude a Q&A session.
Kazuhiko Fujihara: 58:26 This concludes the Investor briefing for earnings results for the six months ended September thirtieth twenty twenty one. Today's briefing will be streamed on demand on our website. Thank you very much for coming to Softbank Corporations Investor Briefing for earnings results for this six months ended September thirtieth twenty twenty one.